Operator: Greetings, and welcome to the Eaton Vance Second Quarter Fiscal Year 2013 Earnings Release Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Dan Cataldo, Treasurer for Eaton Vance. Thank you, sir, you may now begin.
Daniel C. Cataldo: Thanks. Welcome to our 2013 fiscal second quarter earnings call and webcast. Here this morning are Tom Faust, Chairman and CEO of Eaton Vance; and Laurie Hylton, our CFO. We will first comment on the quarter and then we'll take your questions. The full earnings release and the tariffs we will refer to during the call are available on our website, eatonvance.com, under the heading Press Releases. Today's presentation contains forward-looking statements about our business and financial results. The actual results may differ materially from those projected due to risks and uncertainties in our business, including, but not limited to, those discussed in our SEC filings. These filings, including our 2012 annual report and Form 10-K, are available on our website or on request at no charge. I'll now turn it over to Tom.
Thomas E. Faust: Good morning. I'm happy to report that the strong business trends we saw in the first fiscal quarter continued throughout the second quarter and, in fact, still continue today. We generated $6.6 billion of net inflows in the 3 months ended April 30, which equates to an 11% organic growth rate. When combined with the $5.4 billion of net inflows in the first quarter, we've seen $12 billion in net inflows for the first half of our fiscal year, an annualized internal growth rate of 12%. While the net inflows in the first fiscal quarter were led in significant part by our lower fee implementation services businesses, this quarter's organic growth was driven by strong flows in the higher-fee, floating-rate income and alternative mandates. We finished the quarter with $260.3 billion in managed assets, up 5% from beginning of the quarter and up 32% from a year ago. Excluding the $34.8 billion in managed assets acquired in the December 2012 acquisition of the Clifton group, our assets under management have grown 14% over the past year. As a reminder, we do not include in our reported flow-in AUM numbers the directly managed assets of our 49%-owned affiliate, Hexavest Inc. Since our Hexavest transaction closed last August, their managed assets have grown from $11 billion to $15.3 billion. For the first 6 months of the fiscal year, Hexavest has raised net flows of $1.5 billion. For our second fiscal quarter, we are reporting adjusted earnings per diluted share of $0.52, up $0.07, or 16%, from the year-ago quarter and up $0.02, or 4%, from last quarter. Laurie and Dan will discuss the financials in more detail after I conclude my comments. With $24.7 billion in gross inflows, this was, by a wide margin, our best quarter ever from a sales perspective. As many of you are aware, we have seen extraordinary demand of late for our floating-rate income strategies, which were our single best-selling category in the quarter. The $6.1 billion of floating rate gross inflows in the second quarter were up 87% from the preceding quarter and 267% from the year ago quarter. However, floating-rate income was not our only area of sales strength. The $2.8 billion of sales in other inflows into alternative strategies were up 53% from the prior quarter and up 147% from last year's second quarter. Within our alternatives lineup, we saw strong growth in Global Macro and currency strategies and also our commodity funds there had nearly $300 million in sales in the quarter. The highlight of our fixed-income business in the quarter was the successful offering of Eaton Vance Municipal Income Term Trust, a $205 million closed-end fund IPO that priced at the end of March. Upon issuance of the fund's over allotment option and taking into account anticipated leverage, the fund should reach about $350 million in managed assets. Equity inflows in the quarter were up 17% from the first quarter and were led by Parametric systematic emerging market strategies, Atlanta Capital SMID-Cap and Parametric managed options. Eaton Vance Large-Cap Value also remain one of our best-selling equity strategies. Our implementation services businesses saw both record gross inflows and overall net outflows in the second quarter. The net outflows from implementation services were concentrated in Clifton's overlay service, which enables clients, typically large institutional investors, to efficiently add and subtract market exposures using futures contracts and related instruments. It is important understand that the net outflows from overlay we saw in the quarter reflect rebalancing rather than loss of client assets. In the second quarter, Clifton, as a whole, increased the total number of its client relationships from 189 to 196, a gain of 4%. Clifton continues to perform ahead of business plan in terms of both revenue and operating income. From a net flows perspective, our floating rate income and alternatives categories led the way in the second quarter. Especially worth highlighting is the $4.9 billion of net inflows in the floating rate mandates, which accounted for 74% of our consolidated net inflows in the quarter. Feeding on-demand for income strategies with limited exposure to interest rate risk, the bank-owned asset category has seen significant buyer interest across both retail and institutional markets. Few players are better positioned to meet that demand in Eaton Vance. We've been a leader in managing bank-owned portfolios since 1989 and offer a broader array of bank-loan-related strategies. In the alternatives category, net flows were spread across Global Macro asset return currently and commodity mandates. The rising star within this group was our diversified currency income fund, which has grown to just over $750 million today from just $90 million at the beginning of the fiscal year. This fund is managed by our global income team, which is increasingly being recognized in the marketplace as a leader in managing nondollar asset returns, income and currency strategies. Among equities, net flow leaders in the second quarter were Parametric emerging markets, Parametric managed options and Atlanta Capital SMID-Cap. Net outflows from Eaton management of the Large-Cap Value franchise were $590 million, down from $770 million in the first quarter and $2.7 billion in the fourth quarter of last year. This franchise has $13.7 billion in total managed assets at April 30, 2013. After outperforming peer funds in 2012, performance of this conservatively managed strategy has modestly lagged group averages in this year's sharp equity rally. Despite strong stock market performance, retail investors continue to be skittish about investing in U.S. equities, as evidenced by the industry flows data reported by the Investment Company Institute. Going back to the beginning of our fiscal year, at the beginning of November, the ICI reports that total equity fund flows have been a positive $21 billion. Over that period, domestic equity funds were in net outflows to the tune of $29 billion, while world equity funds have seen net inflows of $50 billion. This trend of investors favoring non-U.S. equities played to our strength in managing global and international equities. We are well established as a leader in emerging market equities, with over $18 billion in core metrics, systematic alpha emerging market strategy. In global equities, Hexavest is well respected among institutional investors and the newly launched EV Hexavest Global Equity Fund is off to a strong start. Parametric's rules-based international equity fund, which uses a similar approach to their emerging markets strategy, just hit its 3-year anniversary. Since its inception, this fund has performed quite well versus its benchmark in the Morningstar and Lipper category averages. Investors who are familiar with the Parametric approach and who have experienced success on the emerging market strategy could offer significant cross-sell opportunities. Another fund to keep an eye on is the Eaton Vance Richard Bernstein Equity Strategy Fund, a $360 million go-anywhere global equity fund with a strong track record dating from the fund's inception in October 2010. As that fund hit the 3-year anniversary this fall, it could gain traction quickly. Portfolio manager Richard Bernstein is widely respected across the brokerage community for his investment acumen, and advisers could be poised to jump into the fund as his top reputation is validated by a 3-year track record of live results. Also in equities, it's worth commenting that interest in tax-efficient strategies is starting to build as markets work their way higher and taxpaying investors in the U.S. adjust to the reality of significantly higher investment tax rates. Although retail investors may be slower to react, we are seeing signs that family office and high-network investors are starting to redirect allocations towards the more tax-efficient equity strategies. Parametric Tax-Managed Core equity saw over $400 million of net inflows in the second quarter. Looking ahead, it's hard to know what investor trends we'll see in the second half of our fiscal year, but we are optimistic that we are well positioned for a variety of outcomes. Our institutional pipeline is strong, with pending awards in floating-rate income, global macro, Parametric emerging markets, Hexavest Global Equity and implementation services. We were informed last week that we have won a multimillion dollar fixed-income separate account mandate to be managed by Kathleen Gaffney. We expect to be in the market in June with a floating-rate income closed-end fund. All told, we are encouraged by our new business prospects and look forward to reporting continued progress over the balance of 2013. Finally, I want to comment on our exchange-traded managed fund initiative. As many of you are aware, at the end of March, we filed an application with the U.S. Securities and Exchange Commission, seeking exemptive release for a new type of actively managed fund that combines features of ETF and mutual funds. For over a decade, sponsors who've actively managed funds have been searching for ways to provide the cost and tax efficiencies and shareholder protections of the ETF structure to investors and actively managed funds, while preserving the confidentiality of fund portfolio trading information. While the regulatory approval and market acceptance certainly cannot be assured, we believe our ETMF may very well provide the solution the market has been looking for. As a reminder, ETMFs are based on patented intellectual property we acquired in 2010. Our commercialization strategy is to launch of family of Eaton-Vance-sponsored ETMFs that mirror many of our most successful mutual funds and offer the enabling technology per license by other fund families to allow them to offer replicating ETMF versions of their most successful mutual funds. As we await SEC action on our exemptive application, we continue to work with our business partners at NASDAQ and BNY Mellon to prepare for implementation. Over the coming weeks, you can expect us to become more active, reaching out to potential licensees. Although it's a long row and there's much work to be done, I continue to view ETMFs as having the potential to transform the delivery of active fund strategies in the U.S. If that happens, the financial implications for Eaton Vance will be profound. That concludes my comments. I'd now like to turn the call over to Laurie.
Laurie Greenwald Hylton: Thank you, Tom, and good morning. As Tom mentioned, we're reporting adjusted earnings per diluted share of $0.53 for the second quarter compared to $0.50 in the first quarter, fiscal 2013, and $0.45 in the second quarter of last year. Adjusted earnings differ from GAAP earnings and that we back out close-end construction fees, the impact of special dividends, and changes in the estimated redemption value of noncontrolling interest in our affiliates that are redeemable at other than fair value. As you've seen Attachment 2 to our press release, these adjustments totaled $0.02 in the second quarter fiscal 2013, $0.12 last quarter and $0.01 in the second quarter fiscal 2012. Ending assets increased by $12.5 billion, or 5%, in the end of last quarter to $260.3 billion on April 30th, reflecting net inflows of $6.6 billion and market appreciation of $5.9 billion in the quarter. Average assets under management increased by $37.3 billion, or 17%, reflecting 3 to 4 months of Clifton Group ownership in the second quarter, compared to only 1 full month in the first. The Clifton acquisition, as we anticipated and recorded on during the first quarter call, produced our average effective fee rate in the second quarter. Our overall effective fee rate decreased to 52 basis points in the second quarter from 59 basis points in the first quarter, and our effective investment advisory and administrative fee rate decreased to 44 basis points in the second quarter from 49 basis points in the first. Sequential fee based comparisons were also adversely affected by the fact that there were 3 fewer days in the second quarter compared to the first. These strategies were -- had performance fees and changes in product mix within these defined investment mandate. There were no material performance fees recognized in the second quarter. So we continue to see the primary driver of our overall effective fee rate as a mix of assets by distribution channel and mandate type. In the second quarter, net inflows were primarily through the retail channel and were concentrated in floating-rate and alternative mandate. If that trend continues into the third quarter, our overall effective advisory and administrative fee rate may trend up slightly as a result, reflecting the higher-than-average effective fee rates associated with these parts of our business. Shifting from revenue to expense. Operating expenses increased 3% sequentially, largely reflecting increases in compensation, fund and distribution expenses associated with the increases in average assets under management and strong growth inflows. Approximately $3.4 million of the overall increase in operating expenses can be directly attributed to the initial public offering of a new closed-end fund of Eaton Vance in its full income term trough in the second quarter. Compensation expense is up 1% sequentially, primarily reflecting increases in sales based incentive, which impact our overall margin and operating income-based incentive, which for the most part, do not. So as long-term sales and other inflows, much of which drive sales-based incentives, were up 27% in the second quarter compared to the first, reflecting strong retail sales as well as a closed-end fund initial public offering. As we've discussed in previous quarters, strong sales have an adverse effect on operating margin in the near term. So we view this as a quality problem that we hope will continue. Pre-bonus adjusted operating income, which drives our operating income-based bonuses, was up 6% sequentially on a 4% increase in revenue, reflecting strong cost control in the period of solid growth. Distribution expense is up 4% sequentially, primarily reflecting $2.7 million of closed-end fund structuring fees associated with a closed-end fund initial public offering in the second quarter, offset by modest decreases in promotion and certain third-party intermediary distribution expenses. Quarterly service fee expense increased 3% sequentially, consistent with the increase in average assets under management subject to those fees. Amortization deferred sales commission was essentially flat in the second quarter compared to first. Service fee and amortization expense should continue falling as a percent of revenue, reflecting the trends in our business growth away from fund share classes to which these expenses apply. Quarterly fund expenses increased 9% sequentially, primarily reflecting increases in sub-advisory fees and other nonadvisory expenses born by the company on certain institutional commingled funds for which we are paid an all-in management fee. Fund expenses in the second quarter also included $287,000 of costs associated with the launch of the closed-end fund. Other expenses were up 5% sequentially, primarily reflecting increases in information technology consulting and licensing costs associated with IT projects underway in the second quarter. Our operating margin was 33% in the second quarter, up from the 32% reported in both the first quarter fiscal of 2013 and the second quarter of fiscal 2012. We're pleased to report higher margins in the quarter, in which revenue was hurt by the usual second quarter date count phenomenon and the expenses were elevated by the strong sales results in closed-end fund offering expenses. Based on preliminary forecasting, we currently anticipate that margins will continue in a similar range through the remainder of fiscal 2013. Equity net income of affiliates increased to $3.4 million in the second quarter from $3.2 million in the first quarter of fiscal 2013, primarily reflecting an increase in the company's proportionate net interest in the earnings sponsored fund accounts for under the equity asset. Equity net income of affiliates in the second quarter included a $2.1 million contribution from Hexavest, which represents our 49% share of Hexavest earnings compared to a $2 million contribution last quarter. Hexavest contribution is reported net of tax in the amortization of intangibles. Nonoperating income for the second quarter reflects net investment gains and other investment income of $5 million compared to $5.2 million in the first quarter of fiscal 2013. As seen in Attachment 3 to our press release, $3 million and $1.1 million of net investment income was allocated to noncontrolling interest holders in our consolidated funds in the second quarter and first quarter, respectively. Nonoperating income also includes income associated with the company's consolidated CLO entity, the majority of which is attributed to other beneficial interest holders in the structure. Net of third-party beneficial interest, the consolidated CLO entity contributed approximately $1.4 million to earnings in the second quarter of fiscal 2013, which compares to a $900,000 earnings contribution in the first quarter of fiscal 2013. The residual contribution to earnings can be calculated by subtracting the noncontrolling interest attributed to other CLO beneficial interest holders provided in Attachment 3 from the total nonoperating income contribution during the period. As seen in Attachment 3 to our press release, the noncontrolling interest value adjustment in the second quarter of 2013 related primarily to an increase in the estimated redemption value of the noncontrolling interest in Parametric Risk Advisors. The first quarter adjustment related primarily to a similar adjustment for Parametric Portfolio and Associates. As we noted in our previous call, in December we repurchased the remaining noncontrolling interest in PPA that were redeemable at other than fair value. As a result, there will be no future first quarter noncontrolling interest value adjustments associated with PPA. We will adjust the estimated redemption value of the remaining noncontrolling interest in Atlanta Capital, if necessary, in our fourth fiscal quarter. Our effective tax rate was 36.1% in the second quarter of fiscal 2013, down from the 37.9% recorded in the first quarter. Excluding the effect of the consolidated CLO entity earnings and losses, which are substantially allocated to other beneficial interest holders and therefore not subject to tax in the calculation of our provision, our effective tax rate for the second and first quarters of fiscal 2013 was 36.1% and 36.6%, respectively. We currently anticipate that our effective tax rate, adjusted for CLO earnings and losses, will be between 36.5% and 37% for the remainder of fiscal 2013. At this point, I'd like to turn the call over to Dan to provide some commentary on our balance sheet and liquidity.
Daniel C. Cataldo: Thanks, Laurie. We finished the quarter with $320 million of cash and equivalents, up over $100 million from January 31. Our second fiscal quarter was relatively quiet from a capital management perspective when compared to the first quarter. As you'll recall, in the first quarter, we used $144 million in cash to fund the $1 per share special dividend and to accelerate payment of the $0.20 per share regular first quarter dividend, $67 million to fund the cash portion of the Clifton Group acquisition and another $43 million to exercise the final call related to 2003 acquisition of Parametric. We repurchased approximately $10 million of stock in the second quarter, a bit lower than we had anticipated back at the beginning of the quarter, but we do expect to be actively buying for the remainder of the fiscal year. Our key capital portfolio was approximately $285 million at April 30. During the quarter, we seeded a new institutional and emerging market, Global Debt Fund, managed by our Global Income Group, and we were able to redeem our fee investment in 2 products: The Richard Bernstein All-Asset Strategy Fund and the Canadian Floating-Rate Fund, which we have sub-advised for AGF investment, as both of these products reached critical mass. Over the next 6 months, we would expect our seeding activity to be a moderate use of cash as there are a number of potential new products in the pipeline. Our weighted average diluted share count for the second quarter increased 3.5% to 123.3 million shares. This was largely anticipated, as we knew we would feel the full effect of the significant option exercise activity that occurred in the first fiscal quarter. We expect the diluted share count to be up again the next quarter, but to a lesser degree, as the second quarter option exercise activity was quite a bit lower than the first quarter. While we don't currently anticipate any significant acquisitions or investment-related demands on our cash, our strong cash flow of $300 million untapped credit facility and access to capital markets based on our A- and AAA investment-grade credit ratings give us ample financial flexibility to continue to take advantage of opportunities as they arise. This concludes our prepared comments. Operator, we're now ready to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Ken Worthington with JPMorgan.
Kenneth B. Worthington: First, I wanted to dig into the gross redemptions and implementation services. You mentioned the rebalancing out of Clifton. Can you explain that further? What's going on with the rebalancing away? How does that happen in an overlay strategy? And then maybe as a follow-up to that, can you talk about the cyclical nature of overlaying implementation services. How market and economic sensitive is this business? And are there better or worse conditions for the sales and the attractiveness of the strategies?
Thomas E. Faust: Yes. Thanks, Kenneth. It's Tom. I think I'd first tell you that we're learning new things kind of at the same time you are. This is a new business for us, acquired at the end of December. So we're only getting -- now starting to get a feel for how the dynamics in this business work. Recall, we had a very significant net inflows in January, which helped our first quarter results and we had net outflows in this quarter, which affected us. As I said in my prepared remarks, this did not reflect client's -- the firing them or moving out of the strategy in a total sense. But this is, we are learning, a fairly valuable business in terms of reported flows. To some degree, we think there is a tendency that as markets move up, there's a little bit of a counter cyclicality to the flows that, for example, if you are using overlay to get equities to a certain target level, it may well be that you're doing less overlay as the market moves up. I can't say that's true in all cases or even necessarily most cases. But we do think there is some connection between what the market does and how clients respond by rebalancing. We think we're getting it right as to how you think about market action versus flows. So it's less straightforward in this than it is for many things. Remember, these are overlays where it doesn't take a dollar to produce -- a dollar in to produce a dollar of flow or a dollar out, because there's built-in leverage in the derivatives. It takes much less than a dollar of actual cash movement on the part of a client to produce a dollar of inflow or outflow. So probably not a very helpful answer, but we are learning. We look at the business primarily on the same basis that the management of Clifton does, which is what is it producing in terms of revenues and profits. And I think it's probably worth noting that when Clifton was a private company or part of a private company, they didn't really think in terms of flows. They thought in terms of revenues and profits, because the volatility of the markets can cause the value of managed assets to go up in the same way that would apply to the rest of our business, but also can have impact on flows, because clients are really taking advantage of the flexibility and the low cost of moving positions using futures to make this a more volatile part of their asset mix just in terms of flows than we would normally be expecting in our business. So unfortunately, we view going forward as the Clifton overlay business is likely to produce some noise in terms of our flow numbers that we're all going to have to get used to. These are relatively low-fee assets. I think we said, in total, our implementation services is about 11 basis points. But we're also looking at, are there ways we can enhance our flow reporting going forward to maybe isolate that effect from what we think of as more traditional longer-term flow drivers.
Operator: Our next question comes from the line of Michael Kim with Sandler O'Neill.
Michael S. Kim: A couple of questions. First, I guess in terms of kind of the institutional cash management business, I know it's still early days, but can you just give us an update on where you stand today? And then assuming the SEC goes ahead and implements kind of floating NAVs for prime money market funds, how quickly do you see that business ramping up? And then any color on sort of the underlying economics of that business would be helpful.
Thomas E. Faust: Yes, just maybe as background for those that aren't as close to this, we did hire a team of 5 people and organized what we call Eaton Vance Institutional Cash Management Services. What was the timing of that?
Daniel C. Cataldo: February 1.
Thomas E. Faust: February 1, thank you. So those guys have been here for 3.5 months, they started, in earnest, contacting potential clients, probably in April, so we're about 6 weeks into that. There was, I wish I could tell you there's great success to report from that. I don't think that would be a reasonable expectation. So we've not had meaningful success in terms of gaining actual client mandate that have been awarded and funded. So it's a little early. We're certainly not in a position to declare a victory. I see a weekly report from them as to their activity and their assessment of their Canada business between cool, warm and hot. And we don't know quite how they're interpreting the word hot, but there are some that show up as hot on there every week. So we're working to build a business. The impact of the floating NAV that seems to be more likely coming, at least for institutional funds, we think could be a catalyst for business growth there. But it's really too early to say that we've had success building business. And so that group, I should point out, is not fully focused on building new institutional business. We have a couple of billion dollars or so of cash, sweep assets and a small government money market fund that we offer to third parties. We have cash that underlies securities and lending. So those guys are involved in that as well. So we've got things for them to do while we're looking to build the institutional business. Also, one of the members of that team is potentially a risk manager, and we've been -- we have ability to apply his skills not only in the very short-term end, the cash end, of our fixed-income group, but also more broadly across fixed income. So it's still early. Maybe in next quarter, we can report that there's -- some of those hot leads have been converted into clients, but can't say that as yet.
Operator: Our next question comes from the line of Jeff Hopson with Stifel, Nicolaus.
J. Jeffrey Hopson: So some questions on floating rate. Curious about what you would see as your capacity, and then any comments on kind of the supply-demand in that market. It looks like you had about $1 billion of institutional wins in floating rate, is that about right? And how do you think you're doing, I guess, on the institutional side in the market versus others in terms of raising new assets? And then finally, if I could, I guess the last couple of interest rate lifts the past couple of years, floating rate would see some money coming in and then later move out. Anything different about this cycle that you would say is different or more sustainable, I guess?
Thomas E. Faust: Okay. A few questions in there. If I missed something, Jeff, just remind me as I get toward the end of this. So bank loan assets and capacity, obviously, something that's important to us. This is one of our flagship businesses that's accounting for roughly 3/4 of our flow in this quarter. We have, if you count not only our dedicated bank loan mandate, but also, we have some bank loans in some multi-strategy accounts. We manage just about $35 billion in bank loan. I think $35.5 billion was the number as of a couple of weeks ago, which is slightly higher than the reported number. And again, that reflects bank loans that are in multi-income -- multi-strategy, income strategies that would show up in other places. That compares to a market size, our guys say that today, the syndicated -- that the bank loan market in the U.S. and Europe totals about a little over $700 billion in terms of current amounts outstanding. And so we represent about 5% of the addressable market. We don't own every loan. In fact, there's a large percentage of the credits that we don't participate in. But -- so were -- but in terms of the addressable market, we're about 5%. We think we are, if not the largest player, certainly one of the handful of 2 or 3 largest. How we think about capacity is mostly in terms of -- based on liquidity in the marketplace, do we have the ability currently to put money to work as money comes in, and also to meet redemptions during periods when we're in net outflows. The reports from our trading desk continues to be that we're quite comfortable with how we're doing in terms of putting the money to work. We -- we've seen a lot. We've taken roughly $5 billion of net bank loan assets. So we've been buyers of bank loans over the last 3 months. But even during that period of quite strong inflows, we feel like we've been able to keep up with buying demands. In terms of the overall dynamics of the bank loan market, just a couple of thoughts there. A fairly large percentage of the underlying loans in this market, both U.S. and Europe, relate to some kind of leverage buyout or leveraged corporate transaction, often it's a public company that gets taken private. So activity in the marketplace, if there are more buyouts, more private equity firms that go into the market and finance their activities with bank loans, which is particularly what they do, to the extent that there are -- is more buyout activity taking advantage of the very low financing rates available today, that tends to create new supply, which creates new ability for us and other bank loan managers to invest inflows comfortably. On the demand side, this is a pretty dynamic market. Bank loans, if -- bank loans have very little call protection. So there is the possibility that if you own a loan that after a relatively short period that, that loan could effectively be repriced to a lower spread. And during periods of strong demand and strong price performance, you see that, and we've been seeing that in our portfolio. And so we've seen spreads come down, not substantially. We're still significantly wider than were low points in previous cycles. But at some point, the demand starts to be self-correcting. So I guess what I would say in our history, and we've been doing this since 1989, we've never had a point where we've had to close and not take new money either retail or institutional. There's certainly been times in our history when we were thinking about that in the same way that we're thinking about that now. But historically, there's tended to be a correction, meaning either that low rates and attractive spreads stimulate activity, so that there's a growth in supply of loans or on the other side that you see a drying up of demand as either due to credit issues or just simply spreads getting squeezed to a level that they're not attractive that you could see a buying -- a drying up of on the demand side. Today, things tend to be in pretty good balance. The loan prices have recovered sharply and are now essentially at par. A year ago, they might have been in the mid-'90s, so we've seen a recovery in prices to roughly par. When we have seen a shock in -- sudden changes in investor demand, the most recent of these would have been in the summer of 2011. And you might recall what was happening during that period, which was that there was a concern about the economy slipping into recession. There was concern at Washington about lower debt rating for the U.S. government and debt ceiling issues. And all that led to in, I think it was, August of 2011, a period when bank loan prices fell several percent in a pretty short period of weeks, and we saw some outflows during that period. We don't see that on the horizon. Certainly, the credit characteristics of the loans that were -- that we own are -- continue to be very good. But we know that this is an asset class that -- these are below investment-grade credits and there is certainly the likelihood over that some point in a credit cycle that you'll see a spike up in spreads, reflecting in lower prices and people start getting concerns about credit losses, and then at some point, either those credit losses get realized or not. We don't see that on the horizon. We don't think buyers see it on the horizon either, and that's showing up in our strong flow. So I guess I would say that we do have capacity and limits out there somewhere. We don't think we're particularly close to those, at roughly 5% of the addressable market. It's one of those things that when we talk to the investment team, they can't provide the kind of number that you're looking for as to what is our capacity. It tends to be a number that is reflective of market conditions and our ability to put money to work. I can say that although we can't say what that number is and nobody really knows what it is, when we hit that number, whatever it is, we will close the strategy to new investors. We'll do what's right for investors if we find that we can't get the money invested or that we're face a choice between buying loans that we don't like or turning away cash, we're going to turn away cash. It's not imminent, but it could be out there. We're getting $5 billion a quarter. That's a pace that -- there aren't too many quarters of that, that we can continue to do that unless market conditions change, meaning that there's growth in the market. We are in a better place today, supply-demand in the market. There was a -- you probably know this, Jeff, there was a -- historically a major player in the bank loan market has been collateralized loan obligation into these CLOs, as they're called. They have largely gone out of the market. CLOs have started to reemerge recently, though that has been at a pretty muted pace. So there's certainly more -- there's a larger share of the market that's available for investors like us, which makes us think that perhaps where we can go in terms of share of the market is higher than might have been the case in previous bank loan cycles. So we're mindful of the fact this is a big business for us. It's driving our flows currently. Our capacity is not unlimited. But we don't see a change on the immediate horizon, but, on the other hand, $5 billion a quarter is a very rapid growth rate, and I would say we don't expect that growth rate to continue for the foreseeable quarters. So don't model that Eaton assets are going to grow $5 billion in bank loans every quarter. We think there will be strong positive flows in the third quarter from what we see today, but we think that flow is inevitable. And if it doesn't, we're going to run out of the capacity at some point, but it won't be like being the next couple of quarters because I don't see that level of growth likely to be sustained. And I also don't think that even if it were, we'd hit the magic number, whatever that might be, prior to the end of this fiscal year.
Michael S. Kim: Okay, I know you said a lot. But on the institutional side, it looks like retail, you're doing great in terms of market share, I guess. On the institutional side, how would you say you're doing? And I suspect there's a little different dynamic in terms of the institutional maybe being I guess more attractive, that those assets might stay a little bit longer potentially. Is that true? And would you be buying different type of paper on the institutional side?
Thomas E. Faust: We buy roughly the same kinds of paper. The portfolios are managed very similarly. Our largest institutional bank loan fund had posted $700 million of net inflows in the quarter. Some of the delta between what your -- I think, Jeff, you said, you estimated that $1 billion, that delta may well be offshore bank loan funds and we have some of those there may be some separate.
Daniel C. Cataldo: Yes, I think there is. You're right, Jeff. If you look at what the flows in our retail products were for the second quarter, they were roughly $3.9 billion. So out of the total $4.9 billion, that remaining $1 billion was in institutional co-mingled product, sub-advisory separate account product and true separate account bank loan product. And the demand has been steady across all of those different channels.
Thomas E. Faust: I would say and I think this is picking up on maybe a point you're making that we want to be diversified in our bank loan client base. How different investors respond to different marketing conditions will vary and we want to have a stable base of business. We think that's both in our interest and the interest of our investors, generally. Historically, U.S. retail has been somewhat more volatile than institutional, so we like the stickiness of the institutional assets. We also -- and I mentioned this, I don't know if you picked up on this, that we're planning to offer a bank loan closed-end fund in the month of June, and those, obviously, are sticky assets as well. So we want to be diversified. We want to have fund, retail fund, and institutional clients. We do have quite a few clients outside the United States now, and they think about this differently than people based here. So diversified business, run the business from a long-term perspective, as we've always done since 1989, doing what's right for the investor and when that means closing the strategy, we'll close the strategy.
Operator: Our next question comes from the line of Marc Irizarry with Goldman Sachs.
Marc S. Irizarry: Can you talk a little bit about the environment for closed-end funds for you guys? I know you mentioned the floating-rate income product being a resource in the throes of just what you see as a better environment for closed-end funds?
Thomas E. Faust: So we -- and to give some perspective on this, we were the largest seller of closed-end funds every year from 2003 to 2007. So 5 years in a row, we -- this was a big part of our story. Since then, we've raised a total of 3 closed-end funds, all of them roughly $200 million in size. So they made a de minimis contribution to our growth over the last 5 years, which, frankly, to us, has been disappointing. Most of that has been due to market factors. During most of the last 5 years, there really haven't been lots of successful closed-end funds. There have been notable successes, particularly over the last 12 months. Categories of closed-end funds that have been successful, there have been a number of MLP Funds that have done well. We don't participate in that. We don't have an investment capability in FTs. There have been some multi-sector income funds that have done well. There have been a couple of muni funds that were successful in raising lots of assets. Success in closed-end funds from our experience requires both luck and skill. The luck is really in terms of hitting a particular strategy at a time when there's strong investor demand for that particular strategy, and also where the tea leaves line up to allow a particular fund to have a wide distribution among the leading distributors of closed-end fund. Unfortunately, the last years, we've not been able to have the tea leaves lined up. So we continue to work at it. We have a number of closed-end funds that have been filed. We have a multi-sector income fund we filed. We have some offshore funds that we have filed using currency-related strategies. As I mentioned, we do have this bank loan fund that we're teed up for in June. There is a bit of a log jam in the closed-end fund market today. Most of the major players have -- report having significant interest in loan fund managers and getting into this of business, and they would say significant commitments to particular sponsors and particular funds, meaning that the kind of broad syndicate that helps make a deal really successful is harder to build now than it might have been even just a few months ago. So we like closed-end funds. We like the stability of the assets certainly, the ability on a short-term basis really with considerable focus to using our distribution teams to drive asset growth in a particular strategy, we like that. We don't really know how big this June offering is going to be. Bank loans are certainly very attractive. But even though the selling period is still just not very many days away, we still literally don't even know who's going to be selling the fund. So it's -- the market is a little chaotic at the moment in terms of building syndicate and figuring out who's going to participate in what other sponsors' deal, so that that leads to unusual uncertainty about the success of individual funds.
Marc S. Irizarry: That's helpful. And then just getting back to the equity business for a second. You mentioned Large-Cap Values, the performance in 2013. Is there any outlook in terms of mandates on the institutional side for Large-Cap Value that could come out just in the pipeline, so to speak, or anything on the gross sales side that's notable in equities? I know you did mention that investors are skittish on outflows, so I'm just curious how the equity business is building?
Thomas E. Faust: So Large-Cap Value, I mentioned, is about $13.7 billion in assets. Performance for the year-to-date has been, I guess you could say ho-hum, at least relative to the asset class through the end of April. I'm just looking at our Large-Cap Value Mutual Fund iShares. The average in the categories up 13.1% were up 12.0%. So first 4 months, were 110 or 115 basis points below the peer-group average. That, in isolation, wouldn't be particularly surprising or troubling. Now we have a conservatively run strategy. When the market is running, like it's running in the first 4 months of this year, we have rarely been able to keep up with category averages. The problem, of course, is that we're now 4-plus years into a pretty good market run. And during that period, we've lagged peer groups and lagged the benchmark. And clients that have a long experience with it and have been with us through up-and-down cycles of the market, I think, have a better appreciation for our style sometimes than newer clients who may have bought us at the wrong time and seen us underperform throughout their ownership history. I guess if there's good news, it's most of those clients, we think, are flushed out at this point. Recall that our peak assets in the strategy were over $33 billion. So we've seen -- we felt quite a bit of a net outflows in the second half of fiscal 2011 throughout most of fiscal 2012. So the newer clients, the more performance-sensitive clients, we think most of them have moved out of the strategy. Those that take a longer-term perspective, many of those are still with us. We are not aware of -- there's no visible pipeline of clients that are -- put us -- given us notice that they're going to pull funding. Normally, that's not the way the world works. Generally, you don't get 1 month or 2 or 6 months of notice that someone's going to terminate you. So we're not aware of that, but we're also mindful of the possibility that performance versus peer group, the peers and benchmarks have not met expectations for the last really 4 years since the market downturn. So we continue to take steps to strengthen our equity group and feel like we've made real headway there. Notably, we've both expanded and we feel like upgraded the quality of our equity research team here in Boston. So we think we're doing the right things to address the issues that we can address. There are other issues that affect performance, namely, style factors that are very hard to change, because you go out and represent yourself in the marketplace as having followed a particular investment style and having particular characteristics. When that style and when those characteristics don't fit with how the market that's moving, it's usually a mistake to change your style and change your characteristics, and we've resisted doing so. So it still is an uphill battle for us to try and grow our Boston-based equity business in the current environment, given the near-term performance record of our major strategy. Fortunately, we are pretty diversified in our equity capabilities with Atlanta Capital, with Parametric and Hexavest, as well as several outside, sun-advisors that are managing Eaton Vance product. We've highlighted some of these that are performing well and they're growing. Currently, the Atlanta Capital core team, which runs the and Eaton Vance SMID-Cap fund, they have a new, what they call Select Equity strategy that has a really outstanding, now, I think it's 6-year track record that we're trying to build a business around. Hexavest, great long-term numbers despite a relatively bearish stance have performed quite commendably in the year-to-date. The long-term success of the Parametric emerging market strategy, both is attracting investors to that strategy itself, but also creates opportunity as we apply similar principles to other asset classes to grow in other things, and it's highlighted in the call facts that we recently hit a 3-year track record on our Parametric international fund. So the story at Eaton Vance Equities is, I would say, mixed. The story across the company more broadly has a lot of very great favorable things going on and a lot of good stories.
Operator: Our next question comes from the line of Cynthia Mayer with Bank of America.
Cynthia Mayer: I just have some modeling questions. Sorry, if you covered these already, but I'm wondering in terms of the increase in the share count, what was the ending share count? And, you mentioned you plan to get more active on buybacks. I know you don't have a policy of buying back all of the dilutions, but given the jump in the share count, what's your outlook for the buyback?
Laurie Greenwald Hylton: Cynthia, it's Laurie. I'm just trying to actually grab the ending share count number. But in terms of our philosophy going forward on our buybacks, we don't target offsetting dilution in terms of our buybacks over the course of the year. We look at a number of things. We look at microeconomic factors, how the stock is performing. And then, obviously, we do look at what we are issuing. But it's a combination of things, so I can't say that we're necessarily targeting a number. We hope to be a little bit more active this quarter than we were. But again, I think that Dan talked about the share activity for the quarter. We were in to the tune of about -- we bought back about 9 million over the course of the quarter. I don't have a target for next quarter, so I can't give you anything definitive there. In terms of our ending shares, we closed out the quarter -- Dan, correct me if I'm wrong here, $121 million.
Daniel C. Cataldo: $121.4 million.
Laurie Greenwald Hylton: $121.4 million. The diluted was about $123.3 million. We obviously had a lot of option activity in the first quarter that we had talked about both on the previous call and on this call. I would think that, that's going down a little bit. We wouldn't necessarily see the same level of new issuance associated with stock option exercises. But again, I can't give a specific guidance about our intent to repurchase shares in the third.
Operator: There are no further questions at this time. I'd like to turn the floor back over to you for any closing comments you may have.
Thomas E. Faust: Great. Well, thank you for joining us this morning and we look forward to reporting back to you in mid-August. We hope you enjoy your summer. Thank you.
Operator: Ladies and gentlemen, this does conclude today's conference. You may disconnect your lines at this time. And we thank you all for your participation. Good day.